Operator: Hello everyone and welcome to the MultiPlan Corporation First Quarter 2022 Earnings Conference Call. My name is Charlie and I'll be coordinating the call today. [Operator Instructions]. I'll now hand over the call to Shawna Gasik, AVP of Investor Relations at MultiPlan Corporation to begin. Shawna, please go ahead.
Shawna Gasik: Thank you, Charlie. Good morning and welcome to MultiPlan's first quarter 2022 earnings call. Joining me today is Dale White, Chief Executive Officer, and Jim Head Chief Financial Officer. The call is being webcast and can be accessed through the Investor Relations section of our website at www.multiplan.com. During our call, we will refer to the supplemental slide deck that is available on the Investor Relations portion of our website along with the first quarter 2022 earnings press release issued earlier this morning. Before we begin, I'd like to remind you that our remarks and responses to questions may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those stated or implied by forward-looking statements due to risks and uncertainties associated with our business, which are discussed in the Risk Factors included in our Annual Report on Form 10-K for the fiscal year ended December 31, 2021, and other documents filed or to be filed with the SEC. Any such forward-looking statements represent management's expectations, beliefs and forecasts based on assumptions and information available as of the date of this call. While we may elect to update such forward-looking statements at some point in the future, please note that we assume no obligation to do so. Certain financial measures we will discuss on this call are non-GAAP financial measures. We believe that providing these measures help investors gain a better and more complete understanding of our financial results and is consistent with how management views our financial results. A reconciliation of these non-GAAP financial measures to the most comparable GAAP measure, to the extent available without unreasonable effort is available in the earnings press release and in the slides included in the Investor Relations portion of our company's website. I would now like to turn the call over to our Chief Executive Officer, Dale White. Dale?
Dale White: Thank you, Shawna. Good morning everyone and welcome to the MultiPlan first quarter 2022 earnings call. As Shawna said, joining me today is MultiPlan's CFO, Jim Head. As I look back on my first 100 days as CEO of MultiPlan, I stand encouraged by the trajectory of our company, and confident that we are tracking to our full-year expectations. We have now produced seven consecutive quarters of growth and a sustained record of strong performance. The operating environment continues to normalize as the tragedy of COVID becomes less disruptive to our everyday life. We now have many NSA implementations in progress, and are increasingly assured that we will have a handle on how to help our customers and what it means for MultiPlan. We remain focused on investing in new markets and new initiatives to drive growth, encouraged by our growing set of M&A opportunities, and confidence in our financial flexibility to pursue these opportunities, while continuing to de risk the balance sheet. Our first quarter results yet again demonstrated the considerable earnings power of our business and our ongoing fundamental momentum. First quarter revenues were $298 million, up nearly 17% from the prior-year quarter, and basically in line with fourth quarter 2021. Our robust year-over-year growth reflected both the dissipation of the Q1 2021 COVID impact and strong organic growth. Adjusted EBITDA was $225.4 million, up nearly 18% from the prior-year quarter, and up just under 1% from the fourth quarter 2021. Both revenues and adjusted EBITDA exceeded the first quarter expectations we communicated in February. In the first quarter, we generated $194.9 million in cash flow from operations and free cash flow of $170.5 million. Our performance is the direct result of the value we provide to our payor customers, the employers and other health plan sponsors and the members they serve. In the first quarter, we generated $5.6 billion in potential identified savings, a growth rate of over 9% from the prior-year on build charges of $31.7 billion as shown on Page 7 -- on Page 8 of our supplemental deck. Demand for our services have never been stronger. Last quarter, we discussed how MultiPlan Solutions delivered value to over 100,000 employers and other health plan sponsors in 2021. We have positioned our broad set of medical management and payment accuracy solutions to accommodate a wide range of health benefit plan design to help our healthcare payor customers serves its vast footprint of employers. This service breadth meets not only the considerable range of preferences across these employers, but also the cyclicality of their preferences as the overall labor environment causes employer priorities to shift between cost efficiency and benefit attractiveness. MultiPlan Solution breadth is particularly relevant today because by all accounts, employers are in the midst of a war for talent. Employers are more challenged than they had been in years to retain and attract employees and benefits matter to employees. Research by Health Equity suggests more than half of employees named healthcare benefits as the greatest driver of job satisfaction, another 78% report that these benefits impact their productivity. At the same time, employers consistently rate the cost of providing these benefits among their top concerns. A 2022, Willis Towers and Watson survey indicated that 94% of responding employers cite managing healthcare benefit cost as their number one priority. This should not be surprising, since the cost of healthcare benefits is second only to wages, and was estimated at well over $800 billion in 2021. In a tight labor market, employers must walk an even finer line to balance benefit costs against benefit richness. MultiPlan has been helping payors and employers navigate these tradeoffs between cost efficiency and benefit attractiveness for over 40 years. That's why we offer both Network Solutions and reference-based pricing solutions and combinations of the two that help payors and plan sponsors customize an approach to medical cost management that meets their particular needs. It's why we introduced value-driven health plans that payor reference-based pricing with member and provider engagement tools to minimize balance billing. And it's why we involve a staff of physicians in both algorithm development and the operations of our payment integrity services to achieve higher levels of provider acceptance. We know from experience that no single approach fits all and that a swinging pendulum from cost effectiveness to benefit attractiveness makes adaptability imperative. MultiPlan's broad set of cost management and payment accuracy services provides flexibility and how they are accessed and in what combinations allowing payors and health plan sponsors to tailor their cost management strategies to their specific goals and to adjust those strategies as the labor market conditions evolve. Today, with employers laser-focused on retaining and attracting talent and in the context of rising healthcare costs and accelerating health used services utilization as COVID dissipates; our customers are taking full advantage of the flexibility we provide. We are seeing it in our pipeline and in our new business wins. Our larger customer initiatives currently underway or completed include an estimated $40 million in potential new annual revenues, encompassing all of our service categories, network-based services, analytic-based services, including no surprises act services, and payment and revenue integrity services spanning both pre and post pay modalities. About 66% of those estimated revenues are for services not previously in place with our customer. The remaining 34% relate to expansion of services with existing customers, or the reconfiguration of these existing services. Our broader pipeline is robust and increasing with velocity. All together across the enterprise we are working on 650 active opportunities, representing over $200 million in annual revenues. In Q1, we added over 390 opportunities with current estimated annual revenue of $36 million. The growth in our Q1 pipeline stands across all service categories, and all market segments. During the quarter, we closed on 192 opportunities expected to generate over $27 million in annual revenues, once fully ramped. As with our pipeline, our new wins were across all service categories, and all market segments. We are particularly pleased with the momentum building in our health plan segment for multi-solution sales, which again underscores the demand for the customization our solutions provide. For example, with one regional health plan, we sold an expansion of reference-based pricing, the end-to-end surprise billing service, and prepayment integrity services for both commercial and Medicare Advantage lines of business. With another plan, we sold both payment integrity and Medicare Advantage network access. And to another, we sold network access, reference-based pricing and value-driven health plan services. With regard to NSA services, customer implementations and our pipeline continue to progress nicely. In our prior earnings call we noted that we had good visibility into the NSA compliance approaches of our larger customers, and we're engaged in active implementations with the majority of them. That visibility continues to improve as we secure more of our customer base. We now have 98 completed NSA implementations, ranging from managing the end-to-end process to performing the back end negotiation and arbitration to adjusting existing cost management hierarchies. Another 26 NSA implementation projects are in process, most of them for the end-to-end service. Additionally, we have NC NSA-related opportunities with 41 customers in the sales pipeline. While still early NSA-related claim volume is tracking to our expectations. Given the typical lag we experienced in our business, about two-thirds of the total claims received in Q1 were for dates of service before the law took effect for groups with renewal dates of January 1, 2022. So we really didn't see material NSA-related activity from our implemented customers until March. Based on trends in April, which was the first full month of substantial NSA activity, we expect to be closer to a full run rate of NSA-related activity and volume by the end of Q2. The negotiating strategies that both payors and providers seem likely to continue to evolve particularly given recent legal challenges to the NSA regulations that introduced uncertainty around the treatment of the qualified payment amount, or QPA in arbitration. In February, a federal judge in Texas vacated the portions of the NSAs interim final rule that had given primacy to the QPA in the independent dispute resolution or IDR process except for air ambulance claims. The judge's decision, which was effective immediately in nationwide, places the QPA on equal footing with other factors that may be considered in the IDR process. In April, HHS announced that it would appeal the ruling, and we expect the Fifth Circuit Court to review and rule on the case in the next few months. In addition to the Texas ruling, there are several other cases challenging the interim final rules or the interim rules prioritization on the QPA in the IDR process, and one arguing that some of the broader provisions of the NSA are in fact unconstitutional. Assuming that Texas ruling stands, we believe payors and providers could have a greater desire to avoid post payment negotiation and arbitration, the outcomes of which seem more uncertain without the primacy of the QPA. On the margin, this could imply greater utilization of our pre-payment negotiation, network or other pricing services, which is in our legacy wheelhouse. In any case, given our unique end-to-end NSA solution, we are well-positioned to provide services along the entire NSA continuum. And a shift in emphasis between pre-pay and post-pay activities in either direction would not change our view, that we have a critical role to play, administering NSA services for our customers, or our projection that NSA will be a net headwind of less than 2% of revenues in 2022. In summary, our Q1 2022 results continued our string of strong performance. We are seeing robust demand for our services and our business activity, as well as the pipeline and new business wins. We are on track to achieve our 2022 performance expectations, and our unparalleled breadth and flexibility of our solutions position as well to help payors and employers navigate through this economic environment. I remain encouraged by MultiPlan's trajectory and confident about the future. Before I hand the call off to Jim, I would like to take a moment to thank our 2,400 MultiPlan colleagues, their devotion to our mission to deliver affordability, efficiency, and fairness to the U.S. healthcare system. Their dedication to operational excellence and their commitment to outstanding customer service are the heart of this great company. With that, I'd like to turn the call over to Jim to discuss our results in more detail. Jim?
Jim Head: Thanks, Dale. Good morning, everyone. Today, I'll be updating you on our first quarter financial results and our outlook for the remainder of the year. As Dale noted earlier, our positive fundamental momentum continued with another strong quarter of earnings in Q1 2022. Both revenues and adjusted EBITDA exceeded the guidance we except for the quarter. As shown on Page 4 of the supplemental deck, Q1 revenue was $298.0 million up 16.9% over Q1 2021 and essentially flat with Q4 2021. Organic revenue growth remained robust in the first quarter. As shown on Page 5 of the supplemental deck, excluding the revenue contributions from our acquisition of Discovery and normalizing for the decline in the impact of the COVID-19 pandemic during the quarter, revenues in Q1 2022 were up $21 million or nearly 8% over Q1 2021 and down $3 million or about 1% sequentially. As shown on Page 6 of the supplemental deck, Q1 2022 growth over the prior year quarter was driven by 24.8% growth in analytics-based services. 17.5% growth in payment and revenue integrity services, while network services declined a modest 1.1%. Our performance above guidance this quarter reflects a few underlying components. As we have discussed our revenues lag the date of service for the claims by an average of six to eight weeks. Our Q1 revenues largely reflect claims activity from November, December, and January. So the first few months of our quarter reflected calendar 2021 pre-Omicron claims activity, which was quite strong and above our expectations driven especially by analytics-based services and within that financial negotiations. As Omicron began to impact January and some early February claims we saw a slowdown in utilization offset, in part by the benefit of revenues from COVID testing claims. Last week, the impact of NSA only affected a small portion of our quarter's activity and was less than expected negative impact. So the quarter had some extra tailwinds that we were happy to capture. At Page 7 of -- as detailed on Page 7 of the supplemental deck, we estimate the COVID-related revenue impact in Q1 2022 was approximately $3 million to $5 million, down from an estimated $5 million to $7 million in Q4 2021 down $18 million to $22 million from the prior-year quarter and slightly lower than what we were anticipating for this first quarter of 2022. First quarter COVID-related revenue impact was less than expected due to positive variance from COVID testing claims in January and February and better than expected complementary network performance. Our March activity began to exhibit a slowdown of COVID testing to a more baseline level as we exited the quarter. Turning to expenses. First quarter 2022 adjusted EBITDA expenses were $72.6 million, up from $63.8 million in the prior-year quarter and down slightly from $74.7 million in Q4 2021 and consistent with our guidance for the quarter. The increase of $8.8 million over Q1 2021 was driven predominantly by higher personnel costs, reflecting an increase in headcount and by a full run rate of expenses related to the DHP acquisition, which closed at the end of February 2021. Adjusted EBITDA was $225.4 million in Q1 2022, up 17.9% from $191.1 million in the prior-year quarter and up just 1% from $223.6 million in Q4. The estimated COVID-related impact on adjusted EBITDA in the fourth quarter was approximately $2 million to $4 million slightly lower than we anticipated. As shown on Page 5 excluding the adjusted EBITDA contribution from the DHP acquisition and normalizing for the impact of the COVID-19 pandemic, adjusted EBITDA for Q1 2022 was up 8.7% over prior-year quarter and up 1.6% sequentially. With first quarter revenues and adjusted EBITDA both exceeding our expectations, adjusted EBITDA margin came in at 75.6% in Q1 2022 60 basis points above the high-end of the range implied by our guidance and also up 60 basis points from a margin of 75.0% in both prior-year quarter and sequential quarters. Our costs are relatively fixed versus variable. So our EBITDA and our EBITDA margins benefited from the high conversion of our revenue outperformance to the bottom line. We continue to generate significant operating cash flow. In the first quarter, net cash provided by operating activities was $194.9 million. As a reminder, our cash flow tends to be higher in our first -- in our third quarter given the timing of our interest and tax payments. We also benefited from the timing of receivables in this quarter. Our Q4 2021 ending receivables were a bit high at $99.9 million due to the timing of customer receipts that were properly received in the first week of January. So by the end of our Q1 2022, our receivables balance normalized to a level of $78.2 million. First quarter free cash flow as a result was $170.5 million. Turning to our outlook. At this time, we are maintaining our full-year 2022 guidance provided in February and detailed on Page 11 of the supplemental deck. Given stronger than anticipated first quarter results, and as I'll discuss momentarily, a smaller full-year COVID impact than initially anticipated, we are tracking towards the higher end of the guidance ranges of $1.16 billion to $1.20 billion for revenue and $850 million to $875 million for adjusted EBITDA. We are encouraged about how the year is progressing and how we are performing against our plan. And we will reassess our guidance for the full-year on the second quarter earnings call. As we look to the second quarter and beyond, we expect continued strong performance in our underlying operating results as healthcare utilization further normalizes, and as we maintain strong momentum with our customers. We expect this momentum to help us grow through modest revenue headwinds, we outlined in our last earnings call, with the combination of growth in core services and growth initiatives driving underlying annual growth of 6% to 9% partially offset by a modest net headwind from the NSA as outlined by the guidance in revenue bridge provided in February. As Dale mentioned earlier, we continue to project a net headwind of up to 2% from the NSA for full-year 2022 which includes the impact of known customer wins, and a couple known customer losses. And at the upper end of the range, some caution around the behavior of our smaller customers who are later to decide on how to implement the NSA. Because we experienced an average six to eight week lag between dates of service and receipt of claims, because clients were still in the earlier stages of operationalizing their NSA approaches, the effect of the NSA on our Q1 results was immaterial, but will become more tangible in Q2. We expect COVID to be -- continue to be a modest drag on our results. Given the aforementioned lag and received claims, some of the Omicron surge related claims dynamics, which are illustrated on Page 7 of our supplemental deck are still flowing through our claim mix. As we look towards our Q2 2022 results, we expect the COVID-related impact on revenues to increase slightly and look more like the $5 million to $7 million range we experienced in the fourth quarter of last year, as the quarter will reflect healthcare utilization in February, March and April, which we expected to be modestly suppressed due to the Omicron surge in the early part of the quarter and as we experienced a smaller offset from COVID testing and other COVID-related claims. Stepping back however, the broader context is that the marginal impact of COVID on our results is continuing to moderate. And barring another surge in U.S. COVID cases is likely to track at less than 2% of our revenues for the remainder of 2022. Accordingly, for full-year 2022, we have lowered our estimate of COVID-related revenue impact to approximately $15 million to $20 million from our prior estimate of $25 million to $30 million. And we have lowered our estimated COVID-related adjusted EBITDA impact to approximately $12 million to $16 million from our prior estimate of $20 million to $22 million. We continue to expect adjusted EBITDA margins of around 73% for the full-year 2022, which compares with our first quarter margin of 75.6% and 200 basis points below our full-year 2021 margin of 75.0%. As outlined by the guidance and expense bridges provided in February, we expect margin compression to be driven by a combination of structural cost pressures, investments in our platform to customize and enhance our solutions for our customers and support our NSA-related solutions and targeted investments in our products and capabilities to support our growth initiatives. We would expect structural expense increases to begin flowing through more fully in the second quarter as our salary increases and headcount additions begin to impact our base expenses from the start of Q2. Investments in our platform and growth will build over the remaining quarters of this year. Reflecting these factors and as outlined by Page 12 of our supplemental deck, for the second quarter, we are guiding to $285 million to $295 million in revenues, and $205 million to $215 million in adjusted EBITDA. After an unexpectedly strong first quarter trends in claims activity for February, March and April are tracking more like what we originally expected for this period. And along with the NSA headwind predict a quarter slightly below Q1 levels, but consistent with our overall outlook for 2022. As we sit here in April, we are feeling very good about the strength of the underlying trends of the business and our customer momentum. Finally, turning to the balance sheet and capital. Our total and operating leverage ratios net of cash were 5.3x and 3.8x down from 5.7x and 4.2x respectively in the fourth quarter. The improvement in our leverage ratios reflect the stronger trailing 12-months adjusted EBITDA and the strong cash flow generation in the quarter. As noted earlier, we continue to generate strong cash flow and ended the first quarter with $350 million of cash on the balance sheet up from about $185 million in the fourth quarter. Our rapid cash generation underscores the flexibility we have to balance our priority of investing to grow the business against our objective of making progress on our leverage ratios over time. As it pertains to capital allocation, our priorities remain the same. Our highest priority continues to be investing in the business to drive organic growth and long-term value. This is followed by augmenting growth through strategically and financially attractive M&A, and then by reducing our leverage. As many of our investors emphasize, we have an abundant set of options to deploy our cash, whether it's M&A or debt retirement. We will continue to take an opportunistic, but balanced and disciplined approach to deploying our cash and ask that you measure us on an annual not quarterly basis as we move forward. That wraps up my comments. I'd like to turn it back over to Dale.
Dale White: Jim thanks very much. Operator, would you kindly open it up for Q&A?
Operator: Of course. [Operator Instructions]. Our first question comes from Joshua Raskin of Nephron Research. Joshua, your line is now open.
Marco Criscuolo: Hi, good morning. This is actually Marco on for Josh. Thanks for taking the question. I just had a couple quick ones. So first, just wondering if there was any way you could size the impact of No Surprises Act on revenues in the first quarter. Like for example, do you know how much revenue you're generating through the new NSA-related activities that you discussed?
Jim Head: Yes, thanks Marc. This is Jim. The first quarter really did not have a material effect of surprise billing services. I would say in the last month of the quarter in March, we started to see some of that activity dribble in, just the claims lag, et cetera. And we're now seeing in April, we saw a much fuller run rate. So the first quarter really doesn't have any material effect of the NSA claims revenue in it. But as we switch over into the new quarter, and our guidance for Q2 reflects as the claims volume starting to track and it's tracking against our expectations.
Marco Criscuolo: Got it. Thank you. And then one last one was there any material changes to the composition of your Top 10 customers in terms of revenue for the quarter?
Jim Head: Nothing material to report.
Operator: Thank you, Joshua. Our next question comes from Steve Valiquette of Barclays. Steve, your line is now open.
Unidentified Analyst: Hi, everyone. This is Stefanie [ph] on for Steve. I was just wondering if you could give any early progress updates on those smaller customers that you cited that could still maybe come back to MultiPlan to use NSA services.
Dale White: Sure. This is Dale. We continue to as you know, implement I think you asked the question around the NSA act. And we continue to see more visibility into our -- into what we call our tail that smaller, that smaller end of our customer base. As we indicated to in our last earnings call, we had great line of sight and great visibility, as we move forward with our larger customers. And that and we were engaged in active implementations with the majority of them. Those now over as you could imagine, we've completed 98 completed implementations ranging from, as I said, ranging from managing the full end-to-end process to performing some of the back-end negotiation and arbitration process. So we've moved beyond our top customers and are continuing to move downstream. There's another 26 implementations in process. Most of them again, as we continue to move further into our customer base, and we have another 40 -- another 41, or another NSA-related opportunities with 41 customers in the sales pipeline. So we continue to deepen our penetration with NSA as we move downstream in market.
Unidentified Analyst: Okay, got it. And then sort of in a similar vein, you guys like talked about pretty strong like upcoming pipeline, just wondering if that will have any sort of material shift in the customer mix moving forward?
Dale White: I don't think so, not a significant or material change. But obviously, we're thrilled about the robustness and the velocity of our pipeline and the number of activities in our pipeline across all product lines and all market segments. And of course, we continue to work across all of our market segments and all of our customers, it's always been a goal of ours to deepen our penetration into the health plan market segment and into the third-party administrators segment using the strength of our product portfolio, the depth and breadth of our services and engage with them and focus on the areas that are most important to them, including the government-related programs like Medicare Advantage.
Operator: Thank you. [Operator Instructions]. Our next question comes from Daniel Grosslight of Citi. Daniel, your line is now open.
Daniel Grosslight: Hi, guys, thanks for taking the question. I want to go back to the guidance and particularly the 2Q guidance in the sequential step down implied by the midpoint of guidance. So if I look at revenue guidance, around $8 million step down sequentially from 1Q, and a little higher so higher detrimental margin of EBITDA of around $15 million. I think I heard you mention that you expect higher COVID headwinds in 2Q because you're not going to benefit from some of the testing amid Omicron. But I'm curious if you can help bridge some of that that additional $6 million of sequential decline on revenue from 1Q. And then same thing on EBITDA with a greater than 100% detrimental margin where are those additional costs coming from sequentially?
Jim Head: Sure. Sure. Thanks, Daniel. Good question. I would say, let's take the top-line and then we'll talk about the cost side. On the top-line, yes, the sequential step down is a function, I would say of a couple of things. But underlying this is the strength of our core business. So on the margin, what we're talking about is, maybe 2% to 3% delta between Q1 and Q2. And the components of that, not digitally precise, but the components of that are, first of all, Q1 had a lot of Q4 data service claims that were really quite strong. We'll be dealing with Q1 data service claims this quarter. So there's a little bit of COVID effect. We had very little impact of NSA in the last quarter; we'll see the NSA impact in this quarter. And I think that really does and a little bit of excess COVID testing, that that it's just going to dissipate. So what you're -- what we're reflecting here is really the March, April run rate of the business, which I will remind everyone is tracking exactly to where we expected it to be. This is not, the first quarter was just add a little bit of extra tailwinds to it. The second quarter is really back on track to what we expected to happen. So we feel very good about Q2, and where the demand side and how we're navigating the NSA, which I'll throw is a testament to how nimble our 2,400 employees have been and how agile they've been in terms of responding to this. So that's just on the revenue side feeling very good. On the expense side, what you're seeing here is the decline in our expenses. As we -- as we move into second quarter into two pieces. Number one, we are adding headcount. But number two, we're starting to see we had merit increases that started flowing in March. And we're seeing some of that come through. So our cost base is now tracking as expected as we march through the year. So you will start seeing it in the first quarter as we guided was just didn't see some of those costs flow in and we're going to start seeing it step up over the course of the year. But again, completely on track with our expectations.
Daniel Grosslight: Yes, that's very helpful. And then just going back to the NSA dynamic here, that zero to 2% headwind assumes that the benefits effectively implemented as contemplated by the CMS rule and the lawsuits are effectively thrown out, i.e., the primacy of the QPA stays, right. So any difference in in that meaning if the QPA primacy effectively goes away would that be upside through your numbers?
Dale White: Well, I -- I think we are -- we started the year with guidance that QPA with under the regulatory expectation that QPA was primacy, and we put out our guidance. Then came along the TMA, which arguably could have helped our pre-negotiation activity. And there's, we've got the HHS lawsuit that might put it back. So as it's bouncing from guardrail to guardrail, what we can tell you is that's fundamentally we feel very good about our guidance. And no matter where it lands from a regulatory perspective, we don't think it's going to materially affect the revenues -- our NSA revenues. What it might affect is geography of whether it's pre-negotiation or pre-payment or post-payment in terms of the outlook. And then we feel really good about our solution set, regardless of which way the ruling -- the ruling comes out. Our ability to provide an end-to-end solution and is spot on and whether the ruling is upheld or overturned we feel very good about assisting our ability to assist our customers and assuring their compliance with the surprise rule regulation, whether the -- that particular part of the law. Because remember, the only part of that that ruling is only changed arbitration is that's the effect that didn't -- the rest of surprise bill and the processes remain in place as originally contemplated by the interim final regulations.
Daniel Grosslight: Yes, that makes sense. Thanks for the color and congrats on the strong quarter.
Dale White: Thank you.
Operator: Thank you. [Operator Instructions]. At this time, we currently have no further questions. I'll hand back over to Mr. White for any closing remarks.
Dale White: Operator, thank you very much. We appreciate the continued trust and confidence and your questions today. And we look forward to talking to you again on Q2. Thank you.
Operator: Ladies and gentlemen, this concludes today's call. You may now disconnect your lines.